Operator: Good day, ladies and gentlemen, and welcome to the ServiceNow Third Quarter 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to Mr. Michael Scarpelli, Chief Financial Officer. Sir, you may begin.
Michael Scarpelli: Good afternoon, and thank you for joining us. On the call with me today is John Donahoe, our President and Chief Executive Officer. Our press release, Investor Presentation and broadcast of this call can be accessed at investors.servicenow.com. We may make forward-looking statements on this conference call such as those using the words may, will, expects, believes or similar phrases to convey that information is not historical fact. These statements are subject to risks, uncertainties and assumptions. Please refer to the press release and risk factors and documents filed with the Securities and Exchange Commission, including our most recent quarterly report on Form 10-Q, for information on risks and uncertainties that may cause actual results to differ materially from those set forth in such forward-looking statements. I would now like to turn the call over to John.
John Donahoe: Thanks, Mike. Good afternoon, everyone, and thank you for joining us on today's call. We reported another strong quarter today. We closed 22 deals with ACV greater than $1 million, and performance was strong across every geography. Each region achieved or outperformed our target for the quarter, and all are tracking ahead of plan for the full year. Our consistent performance underscores our strengths. ServiceNow is a leading cloud-based platform with a strong portfolio of applications. Our innovative technology and expanding set of product capabilities enable customers to accelerate their digital transformation and simplify and streamline the way people work. Our customers also value and recognize our strong customer-focused culture and our commitment to ensuring their success. This continues to be reflected in our strong renewal rate. And we have a diverse global footprint and strong partner ecosystem. We now serve more than 800 G2K customers representing more than 40% of the world’s 2,000 largest public companies and we added 35 customers in the quarter, doing more than one million in ACV with us, and this includes our largest federal deal ever at $7 million in ACV. Federal represents a significant growth opportunity for us in addition to our continued G2K expansion. Throughout the quarter, I continue to spend much of my time engaging with customers around the world, listening and learning. And whether at a dinner with CIOs in Tokyo or Frankfurt or at the NowForums I headed in Amsterdam, London and New York, the conversations are consistent. CIOs are grappling with intense digital disruption and the need to accelerate the digital transformation of their companies. They’re seeking the right partners to go with them on that journey. For our current and future customers, we intend to become a trusted cloud partner in creating the future of work. We’re investing in our customer success capabilities, building skills and processes to be a strategic partner for our customers along every stage of their digital transformation journey. Our customers love our products and our platform. Experience the benefits of ITSM and other applications, their companies have implemented, they see the potential of our platform to do more. And as I’ve shared with you before, our customers want us to continue to lead and innovate with best-in-class out of the box integrations, and configurations and consumer-like end-user experiences. And they want to hear more from us about our roadmap and product vision and those are exactly our priorities; creating best-in-class customer experiences, and driving customer success. In the quarter, we saw strengths of our platform and product portfolio. Our flagship ITSM product had a very good quarter, with ITSM being include in 17 of our top 20 deals and our platform was included in 15 of those deals. In HR, our employee services experience product led three of our top 20 new customer deals and our employee services product is now being used by 119 G2K customers. And customer service is also seeing great momentum. Our customer service management product landed two million-dollar plus deals and we’re excited to roll out machine-learning capabilities for customer service management in our upcoming Kingston release. Last but not least, our security operations product landed its first deal over $1 million. Underscoring our commitment to delivering best-in-class experiences, we announced during the quarter the acquisition of design firm Telepathy. Adding this talented team significantly enhances our design capabilities and they’re already partnering with our existing software development teams to create great customer experiences and offering great end-user experience not only means delivering great user design, but also requires delivering great mobile experiences. Strengthening our mobile capabilities is a priority for us and we’re already good at delivering enterprise mobile experiences. But the standard today is no longer an enterprise mobile experience. The new standard is delivering the same kind of great consumer mobile experiences that we enjoy in our everyday lives. So, we aim to give customers these great mobile experiences at work and I’m delighted with the announcement today of our intent to acquire SkyGiraffe. This acquisition gives us a world class team to make mobile native to our platform in 2018 and to deliver amazing consumer quality mobile experiences to our enterprise customers. All of our package applications, including ITSM will be available in a native mobile format. And so ServiceNow customers and partners will be able to easily build mobile apps in days, not months with our tools and templates. Our acquisitions of Telepathy and SkyGiraffe for design in mobile, along with our acquisitions earlier this year of DxContinuum for machine learning, and Qlue for virtual assistant technology demonstrate our strategic approach to M&A. We will continue to invest in teams and technologies that enhance our product and platform capabilities and accelerate our ability to deliver world-class consumer light experiences. In closing, I’m pleased with our continued progress and momentum and proud of the extraordinary focus of our company to listen to our customers and deliver the products they need to transform the way work happens. We’re committed to our customers success and are focused on finishing the year strong. With that, I’ll turn the call back over to Mike.
Michael Scarpelli: Thank you, John. During today’s call, we will review our third quarter financial results and discuss our financial guidance for Q4 and full year 2017. We’d like to point out that the company reports non-GAAP results in addition to, and not as a substitute for, or superior to, financial measures calculated in accordance with GAAP. All financial figures we will discuss today are non-GAAP except for revenues and revenue growth. To see the reconciliation between these non-GAAP and GAAP results, please refer to our press release filed earlier today and from prior quarters previously filed press releases, all of which are posted at investors.servicenow.com. Subscription revenues for the third quarter were $455 million, representing a year-over-year growth of 43%, and adjusted growth of 41% for an impact of $6 million. PS and other revenues were $43 million representing year-over-year growth of 10%, and adjusted growth of 8% or an impact of $1 million. Subscription billings were $500 million, representing year-over-year growth of 38%, and adjusted growth of 37%, or an impact of $2 million. P/S and other billings were $46 million representing year-over-year growth of 12% and adjusted growth of 10%, or an impact of $1 million. As mentioned in recent quarters our professional services organization is sharpening its focus on partner training, enablement and advisory services while partner ecosystem drives most of our customer implementations. Q3 was the first quarter P/S and other revenues represented less than 10% of total revenue and we expect subscription revenues to increase as a percent of our total revenues in future periods. Subscription gross margin was 85%, professional services and other gross margin was 10% and overall gross margin was 78%. Operating margin was 20% and free cash flow margin was 19%. Let’s turn to guidance. Fourth quarter guidance is the difference between full year 2017 guidance and our actual performance through Q3. So, I’ll just mention updated 2017 guidance in our prepared remarks. The results in Q4 guidance can be found in our earnings release in our IR deck both of which are available at investors.servicenow.com. We are increasing subscription revenues to between $1.728 billion and $1.733 billion, representing 41% to 42% year-over-year growth and 41% adjusted growth or a $6 million impact. We are revising Professional Services and Other revenues to $190 million, representing 13% year-over-year growth and 12% adjusted growth, or a $1 million impact. We are increasing subscription billings to $2.080 billion and $2.085 billion, representing 38% year-over-year growth and 37% to 38% adjusted growth or a $3 million impact. We are revising professional services and other billings to $194 million representing 8% year-over-year growth and 7% adjusted growth for a $1 million impact as more of this work is shifting to our partners. So due in part to that positive impact our training and enablement is having across our partner ecosystem, we removed $1 million and $9 million from Professional Services and Other Q4 revenue in billings respectively. We are increasing our gross margin guidance across the Board and expect subscription gross margin of 85% Professional Services and Other gross margin is 16% and total gross margin of 78%. We expect operating margins and free cash flow margin to remain at 16% and 25%, respectively, due to an increase in 2017 net employee additions to 1,400 and additional Q4 marketing initiatives. Finally, we expect diluted weighted average shares outstanding of approximately $179 million for the year. With that, operator, you can now open up the line for questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Kirk Materne with Evercore. Your line is now open.
Kirk Materne: Thanks very much, and congrats on the quarter. Mike, I guess just a follow-up on that last point, when you look at the guidance and the results this quarter, clearly subscriptions outpacing your expectations and even when you account for the third quarter beat, it looks like you’re taking out what the implied fourth quarter guide was. I guess how should we think about this going forward in terms of the split between Subscription and Professional Services as we think about fiscal '18 because if you just combine it together, it looks like you’re not really raising but clearly, on a subscription basis you’re taking out your expectations pretty meaningfully.
Michael Scarpelli: Yes. So, this is all part of our plan, first of all, as we’re shifting more of that business to our partners. And by the way that’s low margin business as well, too. We’re really focused more on the subscription which is the recurring. I’m not giving guidance for 2018 right now. But I will say I do expect P/S and Other, as a percent of total, to be kind of 8% or less of our total revenue with subscription, obviously, being the bulk of that.
Kirk Materne: Okay. Great. Then just one follow up for John. John, obviously a much bigger presence from ServiceNow at the HR tech show this year. Can you just talk about sort of the brand recognition in that part of the market and how you see the HR side of your opportunity unfolding as we look ahead maybe in the next 12 to 24 months? Thanks.
John Donahoe: Well, sure, Kirk. I think what’s behind really what’s very strong demand for our HR product is a real focus on really across almost every company around the employee experience, really driving an improved employee experience. I think that’s on every CEO’s agenda and increasingly on every CHRO’s agenda. And the thing to keep in mind is that employee experience is not just an HR issue, and employees’ experience cuts across IT, HR, facilities, finance, all parts, and that’s what our products really do. They drive a cross-functional, improved employee experience. In fact, we’re thinking about even relabeling it not so much as HR but employee experience. And so that demand is quite strong. It’s coming both from IT and HR, frankly driven by, as I said earlier, overall company-wide initiatives to improve employee experience. And so, the business is quite strong, and I think there’s a growing awareness to really deliver those experiences. You need a cross-functional platform, and that’s the role we’re playing. So, demand’s strong. Three of our top 10 new customers were led by the employee experience product. We’ve now got almost 119, 120 G2Ks for using our employee experience product and we think there’s ample opportunity. I’ll also just say one more thing, which is we do not compete with what Workday or Success Factors do. They are outstanding HR systems. And, for instance, we use Workday internally, and our goal is to partner very effectively with Workday, Success Factors and other HCM products to help deliver enterprise-wide great employee experiences.
Kirk Materne: Thanks a lot.
Operator: And our next question comes from the line of Raimo Lenschow with Barclays. Your line is now open.
Raimo Lenschow: Hey. Actually, it’s -- thanks for taking my question. Actually, I wanted to stay on that topic. How do you see that market evolving? Because at Workday a couple of weeks ago, they actually started to seem to think that they need an employee portal, they wanted to have something around onboarding, which is kind of something where you kind of have a big advantage given your platform. Can you see how kind of you see position in the HR markets playing out going forward? Thank you.
John Donahoe: Sure, [Keith]. Again, I just look at it through the eyes of the customers. I’ve probably now spent time with close to 500 customers in my first six months. And the way they talk about it is employee experience, and they’re recognizing, as I just said a minute ago, employees don’t think in terms of what function they’re acting with. They don’t want to think, oh, I have an IT problem, or an HR problem, or facilities problem, or a legal problem. They just want to have a good experience. And so, our enterprise portal allows to have one single portal, though you get any of your problems resolved. And it connects into all the systems of record of the various functions. And so, through the eyes of the customer, the customers want our platforms to work effectively together, to deliver that great customer and customer experience and that great employee experience. And so, you saw during the quarter, we announced an agreement with Success Factors. We’re trying to more deeply integrate our products and the data across the products to help deliver seamless experiences for our customers and their employees, and that’ll continue to be our focus.
Raimo Lenschow: Okay. Makes sense. It’s funny, actually, we are using it and it looks like it’s working really well. Thank you.
John Donahoe: Right. Right.
Operator: Thank you. And our next question comes from the line of Keith Weiss with Morgan Stanley. Your line is now open. Keith Weiss, if your line is on mute, please unmute your line.
Sanjay Singh: Hi. This is Sanjay Singh for Keith Weiss. I have two questions. One, just a question on AI and virtual agents. John, how do you see that on sort of impacting the market, particularly your ITSM service offering, and just the impact of virtual agents in general as you sort of play this market forward over the next couple of years? What would you see -- what would be the impact in terms of the delivery model? And then, what would be the impact on your modernization strategy over time?
John Donahoe: Well, Sanjay, we’re thrilled about the potential of this machine learning. As you know, we bought DxContinuum early this year. Indeed, as we do all acquisitions, they rebuilt their code, recoded their capability into our core platform, and it’s going to enable all of our applications and all of our customers to access that machine learning for specific use cases. It’s not AI for AI’s sake or machine learning for machine learning’s sake. It’s to deliver specific use cases. And let me give you an example. We were our first beta customer ourselves, and so this summer, we turned on the machine learning to our own customer support center, right? We’ve got a customer support organization that takes all inbound problems or calls or contacts from our customers. We turned it on with no additional implementation on whatsoever, turning on the capability. Within two weeks, the intelligent agent was outperforming human accuracy on incident categorization and incident routing. And what that means is two things; one, that our customers are getting their problems delivered to the right person as -- in a more quick and accurate basis; and secondly and I’d say as importantly, roughly we estimated 8% of our customer support engineer time used to be incident routing, incident categorization. That’s now freed up to actually solve real problems for our customers. And so that capability we turned on in our customer service management application in the Kingston release, it will be turned on in ITSM at the same time. And we think there is just an enormous number of use cases where the machine learning capability can take some of the more redundant, repetitive parts of work that people are working on, handle them in a more automated fashion, which drives greater efficiency or productivity, and also enables the IT professionals, the HR professionals, the security analysts, the customer support agents to focus their energies on higher value-added activities and really delivering great experiences for customers and employees. So, we think there’s going to be a real positive opportunity. Our customers are very interested in it. And, again, our focus will be taking it use case by use case.
Sanjay Singh: Great. And if I had one follow up, if I could, just sort of on the traction outside of ITSM. Obviously, the percentage of new ACV has come up pretty significantly over the last couple of years. I guess what’s interesting is that if we tracked some of the earlier progress, we saw modules like ITOM contributing pretty significantly, security operations management coming online. And now it seems the flavor over the last six, nine months has been on employee/HR. So, I wanted to get a sense of what’s causing some of these dynamics in terms of some of these modules percolating up in terms of net new ACV contribution. Is there a discovery process going with customers or is this more of a go-to-market sales motion that you guys are focusing on?
Michael Scarpelli: This is more of our go-to-market. If you recall, in 2015, we realigned our business to have various GMs to focus on the HR, the customer service, and security. We’ve always sold ITOM with ITSM. And I would say that the HR, customer service, and security continue all to do equally well. We’ve mentioned before, the one thing with security ops in the past, their large volume of deals but not big deals. What was very positive this quarter is we did our first $1 million plus net new ACV deal with that. We’ve always done that with HR and customer service and we expect that in Q4. And going forward, we’ll continue to do these larger deals as we’re seeing these opportunities. But it’s really the go-to-market, how we have a dedicated sales support with the different product lines that’s driving us.
Sanjay Singh: Super helpful. Thanks, Mike, and congrats on the nice quarter.
John Donahoe: Thank you.
Operator: And our next question comes from Keith Bachman with Bank of Montreal. Your line is now open.
Keith Bachman: Hi, guys. Mike, I was going to direct these towards you if I can. In Q3, the mix was a little bit different if we look at the ACV slide where ITOM as a percent of total and then the other category, if you will, actually declined a little bit sequentially. Now they’re up, to be fair, year over year quite nicely. And then I was just wondering why was the mix a little bit more weighted, frankly, back to the legacy products? And the corollary question is on the duration contracted a little bit or the average contract terms across the board on new customers upsells and renewals. All came down pretty meaningfully but mostly on the new customers. Is there any color you could give us on those two items? Thank you.
Michael Scarpelli: Sure. I’ll deal with the term, first of all. As you know, Q3 is a big federal government quarter. Both in new business, federal government, as well as renewals for our federal government customers. Most federal government agencies only sign a 12-month contract. That’s across the Board with anyone and that’s what skews it down. If you take out our federal business, we’re normalized back to our normal duration for new business and renewals. You see it more in new business because this was a record federal visitor quarter for us.
Keith Bachman: Okay.
Michael Scarpelli: That business more than doubled year-over-year for us. In terms of your other question, which was around I apologize. Remind me of your other question that you had.
Keith Bachman: Yes. No worries. It was on net new ACV mix.
Michael Scarpelli: Yes. What I will say is this past quarter was a great quarter, overall, for net new ACV for us and we saw some very large federal government customers with ICSM.
Keith Bachman: Right.
Michael Scarpelli: That got us back to that 50% of our business coming from ITSM. And I wouldn’t call it legacy because it still is modern technology.
Keith Bachman: Yes.
Michael Scarpelli: As I want to stress again, that’s what gets us in the door with our Global 2000. Then we follow with upsells in other businesses. I would say we’ve said in the past ITOM tends to be bigger deals. They tend to be lumpy. Last quarter was a little bit light but it was made up for in other areas and we see that kind of – you will see that variability but we were very pleased across the board with the strength in all of our products.
Keith Bachman: Okay. Thanks, Mike.
John Donahoe: And I’d just build on that, Mike. I couldn’t agree with you more with the legacy product comment in that there’s a lot of runway left for ITSM. Both within our existing customers and then as Mike said, in large federal agencies and other large customers. So, it’s a product that has a lot of runway left and I think we’re focused on really going after that.
Keith Bachman: Okay. Thank you.
Operator: Our next question comes from Walter Pritchard with Citi. Your line is now open.
Walter Pritchard: Hi. Thanks. Two questions. First, Mike, just to make sure we understand on the expense side, I think you talked about some items that come back into expenses in Q4. You had a very strong margin performance this quarter. I’m just wondering what didn’t come into the quarter that drove that upside and then, consequently, the reversal on the quarter. Then I just had another question.
Michael Scarpelli: So, part of the improvement in the quarter in operating margin partly was because of our shift in Professional Services going more to our partner. So that took out about $2.9 million in costs actually in the quarter. But on top of that, it was hiring linearity. It was very skewed towards the back half. There was some FX benefit that we had flowing through there. And there was some – we started some of these initiatives as we talked at last quarter around kind of some of the marketing initiatives and customer success that got delayed until Q4. We’ve as we mentioned in this script, we’re increasing our hiring guidance for Q4 because we see the opportunity in front of us here. And as a result, we’re sticking with the 16% operating margin guidance that we gave at the beginning of the year for the full year. We’re reiterating that. It’s on a higher revenue base now, as well, too.
Walter Pritchard: And then, Mike, just on sales hiring, I guess. As we look into next year, can you compare sort of your capacity build into 2018 and then any sort of different allocations around the folks that you’re bringing in on the sale side?
Michael Scarpelli: So, we have seen increased productivity this year and we’re very pleased with that increased productivity. We were forecasting that as paid off. We are going to continue to invest heavily in our product sales specialists. As well as reps in SC ratio around the world. They’ll anticipate any major changes to our sales organization and how we go to market. It’s going be – we’ve seen what we’ve been doing in 2017 has been working and we’ll continue with that.
Walter Pritchard: Great. Thank you.
Operator: Our next question comes from Matt Hedberg with RBC. Your line is now open.
Matt Hedberg: Hey. Thanks for taking my questions, guys. It was great to hear about the million-dollar security deal. I think we’ve been waiting on that. I assume that was for an existing customer but maybe a little bit of color on that. And then maybe can you talk about the sale cycle for that particular component of video?
Michael Scarpelli: So that was to an existing customer. Actually, one of our largest customers that we have. Actually, our largest customer. The sales cycle I can’t, John...
John Donahoe: I think the sales cycles take a little bit longer. As they CCOs and CIOs are – you know they have a growing portfolio of security related products, and one of the things our product does is works on a very complimentary way with the other security products. Just like I said in HR how her employee experience, we work in a very complimentary way with the world class call it applications in HR, and we are trying work in a very complimentary way with just as we work with work day and play experience, we’ll work with a strong Palo Alto networks for fire eye in the security world. So that makes the sales cycle a little bit longer, but I think there’s strong demand for the incident response capability that we can bring to that portfolio that leads to a good solution for CSOs.
Matt Hedberg: Great. And then maybe on a geo perspective. I think EMEA was the largest we’ve seen this percentage of revenue for a while. Was there anything unique about that from a large deal perspective? Was it particular strength in Europe? Or was it something in America? Just sort of curious on the mix there.
Matt Hedberg: More than half of our G2K ads this past quarter were international. EMEA was very strong. We now have touched 50% of the G2K and EMEA. And it was just strength across the board internationally, and as John mentioned earlier, all of our regions are ahead of plan for the full year right now.
John Donahoe: Yes. Matt, in Q3 I was in Asia, Australia, Japan, and I was in Europe a couple of different times, and met with several leading companies and CIOs in all of those markets. I can tell you what’s striking is, what they’re look for is highly aligned globally. This whole concept that maybe an overly used word, but it’s a word they’re using digital transformation. And what’s clear is, several leading -- some of the largest and most respected multinationals in Europe are considering ServiceNow one of their core partners, and the same thing in Japan and Australia. So, the demand when you listen to it through the words of the customers is very similar and very strong.
Matt Hedberg: Thanks, guys.
Operator: Our next question comes from Sarah Hindlian with McQuarrie. Your line is now open.
Sarah Hindlian: Thank you. Apologies if I am breaking up. I’m having a hard time with the new IOS update. Just a couple of quick questions for you guys. You all know a lot of automation and machine learning, and today you acquired mobile capabilities. How do you think about these? Do these functionalities really drive improved ASPs? Or is it more about customer capture? Or is it simply just feature sets? Then I have a quick follow-up question for Mike. Really in regards to ITOM, which has had let’s call it lumpiness or actually maybe seasonality is a better word. Are we expecting to see similar seasonal trends in Q4? Thanks.
John Donahoe: Well, Sarah, on the first part of your question, I’d just say our customers are looking to us to incorporate leading technology, leading innovative technology into our platform so they can access it and leverage it. And they don’t have to integrate it. They can use it out of our platform in a seamless way. And so, the acquisitions of DxContinuum, Qlue, Telepathy and SkyGiraffe are ways we can accelerate our progress in delivering that capability. We have good engineers and capability organically that this, by adding additional teams, and in some cases incremental technology, it simply accelerates our ability to deliver value for our customers. In some cases, we may monetize that. In other cases, it would be part of our core standard offering, but the focus is not monetization, the focus is on delivering really strong value in our platform. That’s ultimately what will get wider adoption of our platform and make it even stickier.
Michael Scarpelli: Then your question on seasonality Sara. So obviously Q4 is a strong quarter for us. It’s seasonally the strongest quarter for us. We don’t guide products by quarter. But what I will say is given that Q4 is such a strong quarter for us, ITOM is a relatively high percent, and you will see an increase in absolute net new ACV from ITOM. But I will stress, and we’ve been saying this for years, history has shown that ITOM deals tend to be bigger and they tend to be lumpier.
Sarah Hindlian: Right. Thank you very much.
Operator: Our next question comes from Adam Holt with Moffat Nathanson. Your line is now open.
Adam Holt: Hi, guys. Thanks very much. I think you all are doing better now than you were the last time I was on a call a few years ago. The first question I have, Mike, I guess is for you. The explanation on durations for Q3 makes a lot of sense around federal and would be to obviously expected. I was a little surprised by the duration impact on Q4 in the guide. It looks like it’s going to be a bigger headwind than I would have expected. Can you maybe walk us through why that would be and just remind us of the mechanics on that? And then I had a quick follow-up on expenses.
John Donahoe: The duration impact for Q4 is really – it’s only one, it’s very small actually. So, I’m not quite sure where you’re seeing that on the subscription side, Adam.
Adam Holt: I was just looking at the appendix. For the duration, for the Q4 guidance.
John Donahoe: I’m looking at Page 9 in our thing. I’m happy to walk you through that after but I don’t see it.
Adam Holt: Okay. We’ll hit that afterward then. And then, secondly on the expenses, to the extent that the shift on the revenue side around post services is maybe happening faster certainly than we modeled. Would we expect to see the incremental benefit from expenses flow through in next year or would we expect to see that reinvested?
John Donahoe: You will see the gross margin as our business shifts more to a subscription mix versus professional services. The overall gross margin will increase but part of that Q4, keeping the full year at 16%, remember we just did the Telepathy acquisition at the end of last quarter. We just announced today the SkyGiraffe acquisition, that’s adding 50 more people that wasn’t in our plan at the beginning of our year. Plus, we did two other acquisitions with Clue and DSI earlier in the year. That’s why we’re keeping them at 16%. We have laid out a framework for 2018 and our overall framework in terms of our long-term target and we’ll give guidance in January for next year.
Adam Holt: Great. That’s helpful. Thank you.
Operator: Our next question comes from Michael Turits with Raymond James. Your line is now open.
Michael Turits: Hey, guys. Two questions. One just on billings. There is a bit of a de-sell in the billings between this quarter and next. How much of that is just a function of the as in revenues, the shift away from professional services? And then my second question is just an update on the commercial market. Any change in competition there and are you hitting the targets you’re looking for?
John Donahoe: So, the first thing on the billings. Q4 of 2016 was such a big beat. And so, you’re on a much higher comp, or tougher comp, you’re looking at. We’re still at the numbers we’re at. There’s not too many companies that are giving that type of subscription billings guidance growth rate as what we just gave for Q4. In terms of the -- and professional services overall does impact the billings but I can’t stress enough, we focus more on subscription. That’s the recurring piece of our business. The professional services is very low margin business. The piece that kind of helps us on professional services is training. But it’s such a small piece of the overall. In terms of the commercial business, commercial continues to do well for us. It was maybe a little bit light last quarter, but I think that’s just timing of things based upon the pipeline we’re seeing for Q4. Commercial looks strong along with all of our businesses. What I will say is we’re off to a very strong start in Q4 and we’re pleased with what we’re seeing in our business.
Michael Turits: Okay. Thanks, Mike.
Operator: Our next question comes from Justin Furby with William Blair. Your line is now open.
Justin Furby: Thanks, guys. Maybe two quick questions. I guess first, for John, I was hoping to get an update on the Inspire team in terms of what the pipeline growth looks like there and maybe give us a sense for the percentage of bigger million dollar plus deals that it’s influencing. And then second for Mike, this quarter for Q3 the 37% subscription billings. It’s obviously a very healthy result but I think it was in line with your guidance on a FX neutral basis. So, I’m just sort of trying to align that with commentary that sounds like you guys had a really strong new ACV quarter that was ahead of expectations. I’m wondering if there was something around bill terms or renewals or things that impacted Q3 sub billings. Thanks.
John Donahoe: Sure, Justin. On your first question on Inspire. What I will tell you is there is absolutely excess demand for our Inspire team resources. And as I think everyone knows, what our Inspire team does is go in and work with our customer in a presales or an upsell environment to build out a blueprint if you will. An implementation of strategy, an implementation blueprint, of how they pursue digital transformation. And as I said earlier in my remarks, there’s massive – virtually every customer is doing digital transformation, and so the demand for our Inspire team to help lay out a very specific plan that taps the best practices of our full customer base is high. And when I go into many of our most successful wins and our largest wins, almost invariably Inspire was part of that sales process. What we’re adding to that now is more systematic post-sale coverage to help with implementation. We talked about our PS strategy. One of the refinements we’re making in our PS strategy is to have our PS teams do more advisory work, where they’re advising the customer and advising our partners and how to actually achieve that blueprint, which was often developed by the Inspire team. So, we’ll continue to make investment in Inspire and in that post-sale coverage in 2018.
Michael Scarpelli: So, Justin, in terms of your question on subscription, so our billings, we did do $500 million as we talked about. There was a currency benefit in that number. And even when you strip it out, we still beat by $3 million. I can’t stress enough that that $500 million, or when you look at our subscription billings, less than 30% of that is really coming from net new ACV. The bulk of that comes from our contracted backlog and renewals, as we laid out on page 19 in our Investor deck, and we talked a lot about at our Investor Day. So, we did have a strong net new ACV, but remember we do have a strong gross down that goes into Q4 that gets reflected in Q4. And you may say, well, why then aren’t you reflecting that in your full-year Q4? Because Q4, many of our contracts start in January 1 that get booked in Q4, and that’s why we are one of the SaaS companies that you generally do not see a big decrease in billings in Q1.
Justin Furby: Okay. Got it. And so, when you think to Q1 of next year then as well where you won’t see a massive sequential billings?
Michael Scarpelli: Correct.
Justin Furby: Got it. Thank you very much.
Operator: Our next question comes from Alex Zukin with Piper Jaffray. Your line is now open.
Alex Zukin: Hey, guys. Congrats on a good quarter, and thanks for taking my question. Maybe two quick ones. Maybe one for John. You gave an interesting statistic on your last earnings call. Your top two customers represented over $15 million in ACV. As you get further down this path and becoming kind of strategic digital transformation partner for your customers, where do these numbers ultimately go in your mind, and what happens? Have you sold all your products wall-to-wall for these customers? Are you fully penetrated? How much upside is there within those customers? And I have a quick follow-up.
John Donahoe: Sure, Alex. So, the short answer to your question is no. We absolutely are not fully penetrated in these customers. And I see significant opportunity in expanding our relationships, particularly our G2k relationships and our federal relationships. In most cases, they’re only using -- they may be using ITSM in one division in one geography, and we have potential to expand our ITSM usage across the entire enterprise. A large number of our new customers are buying ITSM for the whole enterprise, but some of our existing ones don’t yet have ITSM for the full enterprise. So, I see upside in ITSM. Even our largest customers are only using three of our products; HR, ITOM and ITSM. So, I think we have upside to grow more and more of these large relationships. It’s a natural evolution. Many of them are saying we’re an important strategic partner. Our platforms -- one of the -- they’re picking three, or four, or five core cloud platforms they want to work with. We’re one of those, and we see growing usage, both of our – the prepackaged applications we talk about in these earnings calls, but also of our platform. We don’t break out the platform growth, but the platform is also growing very attractively as they’re building – using our capability to build other workflows that we don’t have out-of-the-box functionality for. And so, this whole theme of digitizing the enterprise, automating workflows wherever possible is creating strong demand, and I think you’ll see that in larger and larger customer relationships over time.
Alex Zukin: Got it. And maybe just one follow up. As you shift more work to partners, can you talk about how you expect them to increase the percentage of deals service by partners or driven by partners and kind of what – how that should play through for next year?
John Donahoe: Well, we’re all excited in general. And maybe, Mike, you can put it in specifics. But I will say, we’ve been sitting down with several of our largest partners and doing what I would characterize as joint account plans. It’s really the first time we’ve done this, where we sit down and we’re becoming an increasingly large, relevant, and, in many cases, the highest growth part of their service offering. The ServiceNow practice at leading places like in Accenture and the DXC is a very high-growth part of their portfolio. And so, we’re sitting down and saying, how can we work most closely both in implementation delivery as well as in new prospects and opportunities to go to market together in a more seamless and effective way for customers? And so those plans, I think, will lead to even greater role of the partner ecosystem in our overall business. And I think that’s a win-win for us and for our customers and for the partners.
Michael Scarpelli: Yes. I see our partners really more helping accelerate deals as well. I don’t think our partners are going to be selling a lot independently. Our sales force will be in there with the partners, and those partners will help within their customer relationships get deals done quicker for us. The other thing that -- that work is shifting to partners. So, partners have been doing a lot of our work for quite some time. There was also a big piece of our business where we would be the contract with the customer where we would outsource a big chunk of that work to partners. That outsourcing, where the partners are doing the majority of it, we’re not doing that anymore. We are only going be involved in deals where we’re doing most of the work. We may sub some out to partners. But in cases where the partner’s doing the bulk of the work, we want to focus on that advisory work, where we may be a sub to the partner or we may engage directly with the customer as well as the partner engaging directly.
Alex Zukin: Got it. Thank you, guys.
Operator: Our next question comes from Rob Owens with KeyBanc. Your line is now open.
Rob Owens: Great, and thanks for taking my question. You guys have touched on it several times throughout the call but I’d love for you to elaborate somewhat on the success you saw in the federal vertical, types of agencies you’re seeing that with. And it seemed like from some of your commentary, that might have been ITSM-related. We’d just like more color there. Thanks.
Michael Scarpelli: You can go, John, first, and.
John Donahoe: Sure. Well, as you know, we’ve been focusing on ITSM for several years and now – or I’m sorry, on federal, and now have a dedicated federal sales force, which I think is really, really helpful in this. And so, what’s happening is across the U.S. government and, frankly, I talked to governmental leaders in Australia, the U.K., Netherlands, where governments are starting to have to go through the same digitization process that companies go through. And so, governments are now embracing cloud. And one of the first people they’re turning to as they begin that journey of how they embrace cloud is ServiceNow. And so, the largest federal deal we did in history, the $7 million ACV deal, was largely ITSM, fundamentally an ITSM deal. And these are big opportunities for us. One of the undersecretaries of this department said that it was their first enterprise-wide SaaS solution. It’s going to support 500,000 end users and almost five million contacts per year. And so, these are large organizations that are under pressure to streamline and automate how they operate, both to lower cost and to serve their employees and citizens better. And our platform is a natural starting point. I’ll also say I’ve had some interesting conversation with some of the security agencies looking at our security offering as a way to augment how they provide security at the federal and state levels.
Michael Scarpelli: I would just add, Rob, that eight of our $22 million net new ACV deals in the quarter were federal. Eighteen percent of our net new ACV in the quarter was federal, up from 10% in the year-ago quarter. So federal was very strong for us. And a lot of that was based upon the investments we’ve made in our federal sales organization over the last couple of years.
Rob Owens: Great. And then secondarily, Mike, if you look at the variables you’ve thrown out to kind of achieve your $4 billion spreadsheet exercise, you’ve been tracking well ahead on the Global 2000 customer additions. But if we look at sequentially the trends in ACV within the G2K, this year quite hasn’t paced with where it was last year or even gotten to that 4% bogey yet. Is that a function of large numbers or is there something else that might be weighing that down throughout the first three quarters of this year?
John Donahoe: No. A lot of that is we’ve landed a lot of new Global 2000, especially you saw half of those were international this quarter and a lot of Global 2000 customers start out small. I am expecting, or I should say, we are expecting based upon what we see in our pipeline, Q4 will be a very strong upsell quarter to the federal government. We have a number of large deals in the pipeline that are upsells. And so, I feel pretty good about that number. But I just want to remind people, in 2015 when we set out that 20 Global 2000 per quarter 4% growth to get to that 1,000, that was just a framework. You can see our numbers have been track. We feel good about getting, whether it’s 3.8% average growth or 4.1%, we feel pretty good about that. We’re well ahead on the 1,000 G2K. We only need to add 14 a quarter now to get there.
Rob Owens: Thanks, Mike.
Operator: And our next question comes from Abhey Lamba from Mizuho Security. Your line is now open.
Parthiv Varadarajan: Hey, guys. This is Parthiv on for Abhey. Just following up on a prior question around international. Can you give us a sense of maybe differences in buying trends in those geos? I guess which use cases are most apparent to new customers? And which ones do they need to be coached on to drive further adoption?
John Donahoe: Abhey, I’ll maybe start on that just by reiterating what I said earlier which is I’m really struck by the similarities rather than the differences. And probably the biggest difference is cloud adoption. Certain countries are more ahead on cloud adoption. The U.S., the U.K., Australia, really Northern Europe. Interestingly, Japan is really coming on where cloud adoption is getting stronger and that’s partly driving our strong Japanese growth. And Germany is probably a half step behind on cloud adoption and dealing with more some of the German security and data localization issues. And so, I think that offer is real growth opportunity in the coming years as Germany begins and many of the large multinationals in Germany beginning to embrace cloud more fundamentally. So, we’re positioning ourselves to able to take advantage from it. And then last thing I’ll just reiterate, as I said a few minutes ago, the governments, state, regional, local and federal governments in literally Australia, the U.K., other parts of Europe, the U.S., are adopting cloud more aggressively and that’s generating underlying demand for our platform and from a few of the other cloud platforms.
Parthiv Varadarajan: Okay. That’s helpful. Thank you.
Operator: Our next question comes from Brad Zelnick with Credit Suisse. Your line is now open.
Brad Zelnick: Great. Thanks for fitting me in, guys. So, we’re hearing great things about your security ops product. I wanted to ask you about the long-term strategy. If you take -- if you talk to a lot of the traditional security vendors, they’re getting increasingly vocal about the need for consolidation just to make the problem go away and reduce the number of disparate point products that they’re having to deal with. How do you see yourself competing in a consolidating environment?
John Donahoe: Well, I’d say, Brad, that it’s, again, I’ll go back to how I answered a previous question, which is kind of through the eyes of the customer. Right? And CTOs increasingly have three categories of issues to deal with. They’ve got to prevent problems, they have to detect problems and then they have to respond when there are events. And they’re getting a growing number of event signals. And they have to sort through, really, an exploding number of event signals, if you will, potential event signals coming from -- and so it’s in the latter category that our product is so valuable to help them sort through those. I think the burden is on us to work with the other cloud platforms as seamlessly as possible and as effectively as possible. And frankly, in the last -- literally last couple weeks I’ve met with the CEOs of a couple of the leading security cloud platforms about how we can integrate our products most effectively. And we’re good at what we do. We are good at the work flow. The incident response, the predict and prevent. Others are good at collecting data, parsing through the data. Others are good at creating firewalls and other things. If it was all one company you wouldn’t have best-in-class capabilities. And the power of cloud should be that each of us do what we are best-in-class at and then use the flexibility of cloud to more seamlessly pull together solutions for the customers. That’s what they want and that’s what we’re focused on delivering.
Brad Zelnick: John, it’s clear you’re coming at it from a real unique angle, and that’s resonating really well in the market. If I could turn just to the platform as a service opportunity. I noticed an award that you’d won for PaaS recently. Just wanted to understand how much is standalone opportunity in the future that could be monetized independently versus a way to customize and add onto core apps?
John Donahoe: It’s a great question, Brad. It’s frankly one where we are talking a lot about right now because there is growing demand for our platform. And the two things I hear from customers, and Mike hears it, we all hear it when we’re with them. They want out of the box functionality for our applications, and they want the flexibility of our platform. Because they want to expand it and use it in other work flows, and other situations. And so, we’re trying to invest, CJ Desai, who is our Chief Product Officer, his Number 1 investment priority is our platform. And strengthening and investing in our platform building mobile capabilities, machine learning, chat functionality, mobile capability. And so that our platform, both for applications and for the more customer driven use cases, is strong and robust. We’re monetizing it currently. We’ll continue to monetize it. We’re going to look at definite ways. That could be one of the first areas we look at things like transaction pricing. So, the demand is strong and we’re going to first and foremost invest in making the platform strong. Then continue to try to make sure it gets us widespread adoption as possible. Because that frankly creates the kind of sticky and value-added customer relationships that will be the foundation of our ability to go from 4 billion to 10.
Michael Scarpelli: I’ll just add 15 of our top 20 deals included platform this past quarter.
Brad Zelnick: Awesome. All right. Thanks again, guys.
Operator: Our next question comes from Jesse Hulsing with Goldman Sachs. Your line is now open.
Jesse Hulsing: Yes. Thank you. John, a couple of questions for you. The first – partner has been a big part of the ServiceNow story. And all of them have had a lot of success with ITSM. And some of them are starting to have success with some of your newer product lines. I’m just wondering how do you -- how you think partners are versus where you’d like them to be on some of your newer products? Are there things that you can do to get them more involved in HR and in Customer Service? In Tech Ops and that sort of thing? Then I have a follow-up as well.
John Donahoe: As you said Jesse, partners are critically important. And in the meetings, I referred to earlier, one of the areas for instance that, in addition to ITSM and ITOM, our partners are getting very involved in the employee experience efforts that we described earlier. I was at one of the leading banks in the U.K., two weeks ago, meeting with their COO and their Chief I’ll call it transformation officer around employee experience. And they were talking about how we -- they, along with us, in this case, Workday was their HCM provider and a third-party partner can work together to deliver the kind of great employee experience. So, partners around employee experiences are working with our customers and with us to help deliver that seamless experience that taps our capability as well as that of the other cloud platforms. And so, one of the things we’re working with, the partners on is how can they build the expertise in each of our product lines, in each of the geographies so that we can jointly ensure that the customers get – are able to get our products implemented with the maximum speed and maximum effectiveness. So, we’re trying to work more closely together at that. And it also ties to what Mike mentioned earlier with the training and certification. We’re ramping up our training and certification capabilities to help them train and certify a growing number of people in our non-ITSM products.
Jesse Hulsing: Got you. That makes a lot of sense, and it’s good to hear. And then last question for me. How is – how is your thinking evolving regarding M&A? The ServiceNow strategy of acquiring tuck-ins and replatforming them and integrating them tightly with your core platform has worked really well. Would you consider something more transformative down the road?
John Donahoe: I guess the old adage, “If it ain’t broke, don’t fix it,” comes to mind. So, I think the approach we’re using currently makes a lot of sense. And we have organic growth opportunities that are so strong that that’s going to be priorities one, two and three, is executing on our organic growth. Now that requires us, wherever possible, to do tuck-in acquisitions of talents and capabilities to accelerate our ability to deliver on that organic growth. But the opportunities we have organically are so strong, that that is absolutely executing on that is fundamental priorities one, two and three.
Jesse Hulsing: Great. Thanks, John.
Operator: And our last question comes from Karl Keirstead with Deutsche Bank. Your line is now open.
Karl Keirstead: Thank you for fitting in. For Mike or John, I’d love to ask about pricing trends. Especially as you add new features in Jakarta and soon Kingston. I’m wondering if it’s fair to say that pricing, either per fulfiller or per user, has an upward bias these days and is likely to have that throughout ’18 as well? Thank you.
John Donahoe: So, I will say, Karl, our kind of philosophy around pricing has not been to increase the price per user per se. It’s to drive more users at our customers on our product so we’re extracting more dollars over time. I will say that as we are selling today, our latest versions to new customers, those products or those applications have a lot more features and functionality than it did two years ago so we are able to extract more on a per user basis and show customers real value. So yes, over time I do expect our pricing with what we’re extracting out of customers to increase but I wouldn’t say it’s a big increase per user at our customers slight.
Karl Keirstead: Got it. Okay. Makes sense. Thanks a lot.
Operator: And that concludes the Q&A session for today. I would now like to turn the call back to Mr. Scarpelli for any further remarks.
Michael Scarpelli: Thank you. As a reminder, a replay of this call will be available as a webcast in the investor section of our website. Thank you for joining us today.
Operator: Ladies and gentlemen, thank you for participating in today’s conference. This concludes the program. You may disconnect. Everyone, have a great day.